Operator: Good day, ladies and gentlemen. Welcome to Noah Holdings Limited Third Quarter 2019 Financial Results Conference Call. At this time, all participants are in a listen-only mode. Following management’s prepared remarks, there will be a Q&A session. [Operator Instructions] As a reminder, this conference is being recorded. After the U.S. market closed on Monday, Noah issued a press release announcing its third quarter 2019 financial results, which is available on the Company's IR website at ir.noahgroup.com. This call is also being webcast live and will be available for replay purposes on the Company's website. I would like to call your attention to the Safe Harbor statements in connection with today's call. The Company will make forward-looking statements, including those with respect to expected future operating results and expansions of its business. Please refer to the risk factors inherent in the Company's businesses and that have been filed with the SEC. Actual results may materially differ from any forward-looking statements that Company makes today. Noah Holdings Limited does not undertake any obligation to update any forward-looking statements as a result of new information, future events or otherwise except as required under the applicable law. The results announced today are unaudited and subject to adjustments in connection with the completion of the Company's audit. Additionally, certain non-GAAP measures will be used in our financial discussion. A reconciliation of GAAP and non-GAAP financial results can be found in the earnings press release posted on the Company's website. Today, the call will be hosted by Ms. Wang Jingbo, Chairlady and CEO; Mr. Zhao Yi, Group President; and Grant Pan, Group Deputy CFO. With that, I would now like to hand the call over to Mr. Zhao Yi, Noah’s Group President. Please go ahead.
Yi Zhao: [Foreign Language] Thank you, operator. For today's agenda, I will first briefly summarize Noah's overall performance for the first three quarters as well as the development of our segment business. Chairlady Wang will then provide an overview of the macroeconomic environment and the company's product strategies and updates on the Camsing incident. Grant will then follow with a detailed discussion of Noah's third quarter financial performance. We will conclude the call with a Q&A session. [Foreign Language] In the third quarter of 2019, Noah generated net revenues of RMB 840 million, up 0.4% year-over-year, but down 3.4% quarter-over-quarter. Non-GAAP net income of RMB 350 million, up 23.7% year-over-year and up 34.3% quarter-over-quarter. In the first three quarters, net revenues reached RMB 2.6 billion, up 5.5% year-over-year, and the non-GAAP net income reached RMB 920 million, up 17% year-over-year. We are encouraged to see the solid results achieved against the backdrop of challenging conditions in the third quarter. [Foreign Language] In terms of wealth management, as part of our overall transformation strategy on our product offerings, we have stopped offering private credit products in the third quarter. As a result, we distributed a total of RMB 13 billion products during this quarter, representing a decrease of RMB 15 billion compared with the same period last year. If we compare the distributions during the two periods on an apple-to-apple basis, that is excluding the impact of private credit products, the distribution of other products increased by 119% year-over-year, as the alternative of private credit products, our bond fund and the mutual fund products in particular are continuously gaining trust and the support from our clients. Consequently, distributions of our standardized products increased substantially by 74.3% compared to the previous quarter. [Foreign Language] As of the end of the third quarter, the number of relationship managers was 1,368 demonstrating our efforts to proactively optimize and improve our RM roster. The number of the elite relationship managers remain stable with a turnover rate of only 3.7% in the first three quarters. Meanwhile ultra-high net worth clients are increasingly loyal to our service. The number of Black Card clients reached 875 up around a 20% year-over-year. Their assets advised by us also increased by 53.2% year-over-year, while per capita AUA rose above RMB 90 million. [Foreign Language] While high net worth individuals have a better understanding of risks from the evolving market dynamics, we also strengthened our investor education efforts. In the third quarter, we organized 776 investor education activities directly covering over 15,000 clients. As of the end of October, we have launched the 141 video episodes of our investor education programs, with these new programs on our online platform, we recorded four million more views with an increase of 19,000 in program followers. At the same time, we continue to provide financial products and service that helps high net worth clients mitigate risk, preserve wealth and inherent assets. This service not only ensured that we fulfilled their complex and a diversified allocation needs, but also enable us to benefit from the increasing synergy effect with the sales system of our traditional financial products. [Foreign Language] In terms of the asset management, the AUM by the end of the third quarter increased by 7.5% year-over-year but decreased by 2.4% quarter-over-quarter to RMB 176.5 billion. The quarter-over-quarter decrease is due to the accelerated maturity of $7.3 billion private credit product, which is active choice by us to accelerate our product to transformation. Except for the credit asset category that is on our strategic transformation, all other asset categories have zoomed along their growth trajectories. It is worth mentioning that the total AUM of bond funds denominated in RMB and U.S. dollars sustained its growth momentum from the second quarter to reach RMB 5.49 billion in third quarter, which is up 42.8% quarter-over-quarter. This growth has demonstrated the benefit that we have started to read from our product the transformation. [Foreign Language] Additionally, Gopher’s asset management products has been included in the wire list of large scale security dealers and banks. So far we have completed the product adoption procedure for one of the security dealers with the lift that the expansion of external distribution channels will drive Gopher’s multidimensional growth. In the future, Gopher will keep focusing their strategy on asset allocations and better investments. We are confident that our commitment to our core values will help establish Gopher as a trust-worthy asset management company. [Foreign Language] Our overseas business maintains strong growth momentum. In the first three quarters, the total revenues of our overseas business increased by 33.7% year-over-year to RMB 710 million accounting for 27.2% of the gross net revenues. As of the end of the third quarter, the overseas AUM reached RMB 25.6 billion up 7.8% year-over-year while remaining relatively stable on a sequential basis. In September, our Canadian office successfully obtained a license to operate as an investment fund manager issued by two Canadian province, which is the third license after obtaining our our exempt dealer and the portfolio manager license. In addition, the election of our Hong Kong office as a member of the Asia-Pacific committee of the Standards Board for alternative investments in October illustrated the global recommendations of our standardized practice and integrity. We will leverage our new status to launch our fund operation into a new cycle of growth and the create a long-term excess returns for our investors. [Foreign Language] Now I would like to briefly update on what we have done to enhance our operational efficiency. Since the beginning of 2019, our efforts in optimizing management structure and establishing operating procedures have started to improve our operational efficiency. Building on what we have achieved in the last quarter with further enhanced our efforts in the following areas during the third quarter. [Foreign Language] Firstly, we upgraded our risk management system. We further beefed up our independent risk management and the compliance team to each individual business level to not only strengthen our risk management capabilities, but also ensure better compliance with regulatory requirements. At the group level, we continuously improved our products end-to-end risk management process. Now, our systematic risk management process covers continuous optimization of risk management procedures, disposing risk of projects and sorting underlying assets. [Foreign Language] Secondly, we're putting in place a more stringent cost control measures and optimize our organizational structure. The personnel related expenses were reduced by 9.7% quarter-over-quarter with improved oversight of major expenses. We're also seeing sequential reductions in non-personnel related administrative costs. With that said, however we are still committed in our investment and the product related research and capabilities and established an independent research center dedicated to providing timely and effective professional research for our investment teams. [Foreign Language] Thirdly, we continue to drive the digitalization process for our core business procedures and scenarios. In the third quarter, we upgraded the dual recording system to support point-to-point redo verification. We also launched our OCR based contract validation systems to further digitize our compliance procedures. With the newly launched mutual fund separate management account realizing complete paperless product transactions. The electronic contract assigning will greatly improve the business development efficiency of relationship managers. [Foreign Language] Going forward, we will remain devoted to building up a diversified high quality open platform. In addition, we will also focus on expanding our presence in overseas market as well as developing a complete process of comprehensive financial service. Although we face challenges ahead, our determination to maintain market leadership and become a reliable platform for Global Chinese high net worth clients will remain unchanged. [Foreign Language] With that, I would like to turn the call over to Noah’s Chairlady and the CEO, Ms. Wang Jingbo.
Jingbo Wang: [Foreign Language] Thank you, Zhao Yi. The year of 2019 will mark the beginning of the paradigm shift in China's wealth management industry. What I mean by paradigm shift that meaning the occurrence of the fundamental change in industries on the line dynamics following changes in the macroeconomic environment and the regulatory policies. Take wealth management and asset management as an example, all industry players including but not limited to asset management companies, distribution channels, trustee agencies, client relationship managers and other are embracing the paradigm shift that changed how value is created throughout the industry value chain in the face of new laws, regulations, and the macro policies. The introduction and the gradual implementation of the new asset management guidelines have truly broken the illusion of implicit guarantees of all participants and formed the industrial consensus of supply side finance reform by converting non-standard to standard product. On October 12, the Central Bank issued rules for determining standardized debt assets on its website, fully launching the era of the NAV-based standardized products. [Foreign Language] In terms of our wealth management business, we remained dedicated to providing comprehensive wealth management service to high net worth Chinese individuals all over the world. Our commitment to maintaining a local platform and cultivating industry leading relationship managers enabled us to transform from product sales driven to investment consultant driven. In terms of product insurance, we're more focusing on distributions of products from major financial product suppliers, and the selected top managers. For other comprehensive services, we continue to provide clients with multifaceted services such as insurance, trust credit and immigration related service, so as to meet the diverse needs of high net worth clients, overall, our operational strategy has been well received by our teams and the market. In the third quarter, the total number of active clients in the group level was 9,961. In the third quarter the total transaction value of our products was RMB 13 billion down 46.8% quarter-over-quarter due to the termination of our private credit products. In the third quarter 266 private credit funds in the amount of RMB 7.3 billion were distributed to our clients, among which consumer finance and auto finance accounted for nearly 80%. For the remaining similar products, we’re also working with the counterparties to accelerate debt maturities as contract permits until they are fully retaken by our clients. [Foreign Language] For public security products, the total transaction value reached nearly RMB 7.4 billion in the third quarter increasing (inaudible) year-over-year and 23.6% quarter-over-quarter. The transaction value of bond funds and the mutual funds accounted for nearly 92% of the total. Since the launch of our smartphone app as of the end of the third quarter, total transaction value for mutual funds have reached RMB 9.56 billion for the first three quarters and per capita value is 152,000. The number of active clients for mutual fund in the third quarter has been up 40.9% year-over-year and 53.8% quarter-over-quarter. [Foreign Language] For the Asset Management segment, we're re emphasizing that Gopher is dedicated to its comprehensive asset allocation strategy and creating absolute returns for clients. As of the third quarter of 2019, the AUM of Gopher’s private equity funds reached RMB 105.9 billion, up 9.3% year-over-year, and 1.4% quarter-over-quarter. In the third quarter, among all private equity funds managed by Gopher, nine companies have gone public in domestic and overseas capital markets including five listed on the Sci-tech innovation board. Additionally, three companies have been approved by the CSRC and are making final preparations for their IPOs as of the end of the third quarter of 2019, the total AUM of real estate funds increased to RMB 18.7 billion up 12.7% year-over-year and down 2.1% quarter-over-quarter. [Foreign Language] For our core real estate assets, the occupancy rates of Shanghai Gopher Center and Qibao T2 office building have both exceeded 95%. We have also completed the constructions for Shanghai Gopher Shanghai Plaza which has been entered the rental stage. In terms of the Gopher overseas real estate funds in the third quarter, the AUM of our U.S. New York real estate investment funds increased by over U.S. $30 million. [Foreign Language] The AUM of Gopher’s public security products exceeded RMB 9.5 billion up 95.9% year-over-year and 17% quarter-over-quarter. For a portion of our clients, our bond funds effectively fulfilled their demands for fixed income products. The AUM of our bond fund was about RMB 3.5 billion as NAV-based products are gradually accepted by investors. Investment returns of Gopher-managed secondary market FOF and MoM flagship funds both exceeded 15%. Specifically, the flagship MoM fund achieved a positive return of 19.46% while quantitative FOF yielded positive return of 8.23% since establishment, Gopher’s public fund, portfolio fund establishment has delivered an annual return of 17% more for the AUM of multistrategy fund reached RMB 8.9 billion up 64.8% year-over-year and 4.7% quarter-over-quarter. [Foreign Language] Next, I would like to provide a brief update on the progress of the Camsing incident. The Camsing incident is suspected to be carefully planned and complex fraud with a long time spend and a number of suspects. We continue to fully cooperate with the public securities and the judiciary investigations as they look into this matter. It is expected to take a long time to completely discover the truth and solve the issue. We engaged a group of top law firms with different specialties, as well as a special task force led by senior management members that are responsible for this issue. The Camsing incident was truly a wake-up call for everyone at Noah and reviewed the heavy concentration on a single product category. As omnipresent as the truth may be, the incident led to anonymous decision to move away from our dependency on private credit products. In addition, we are also determined to accelerate our transformation from private credit funds to more diverse standardized product, such as bond fund for a more product driven strategy to a more comprehensive service driven strategy from product results oriented to investment advisory oriented from tunnel visioning on the scale of transactional values to overall enhancing investment capabilities of active management. The incident has changed our vigilance about the market and helped us to relying our focus on common sense and our founding principles. [Foreign Language] Meanwhile, it helped us to form a deeper understanding of the wealth management and asset management industry. Almost all other industries, client experience is the deciding factor for product quality. By contrast in the wealth management and asset management industry, the vast majority of the clients cannot directly evaluate the quality of a product or service that they receive. This is not only the case for clients and the regulators, even practitioners may sometimes having a hard time evaluating the real quality of each financial product until the investment value has been fully realized. Therefore, practitioners of this industry must truly value their fiduciary duty. On the other hand, investor education and the selection of qualified investors are also the cornerstones of the industry. We must pass our common sense and the knowledge of the industry to qualified investors and regardless as our moral responsibility, investments are not deposit, it has risks. While we don't offer implicit guarantee, it does not mean that we are irresponsible. Finance industry is all about operating and managing risks, which is not sometimes, which is not something one can completely eliminate, but it can only diverse and disperse. Every financial advisors, every client and every product developed needed to adhere to the principle of asset allocation. [Foreign Language] 2019 marks the 16th year since the establishment of Noah. In the past 16 years, we have made many mistakes each bringing us memorable or even sometimes painful experience. But they also present opportunities to reflect on our practice and make continuous improvement. The lessons that we learned from our mistakes enabled us to make better business decisions and understand the importance of preservation and the sacrifice, Noah’s survival throughout various cycles and the risk dependent on our commitment to common sense by ensuring that all funds are independently managed in custodian accounts without any practice of fund pooling, cycle financing, implicit guarantees, term mismatch or utilization of leverage. Our mission statement is enriching lives with wealth and wisdom. Meanwhile, we cherish the core values of integrity and professionalism, client satisfaction and the passionate service, willingness to adapt as well as high moral values. Our commitment to our principles and core values are what keeping us inspired and motivated. I firmly believe that by dedicating to this core values and principles, time will prove the resilience of Noah and the wealth management investments. [Foreign Language] Finally with mixed feelings, I would like to announce that Shang is leaving the firm and pursue a different career path in the new industry as of this month. Our Deputy CFO, Grant Pan will assume Shang’s responsibilities as our CFO. Grant was a former partner of Deloitte China, a member of the Deloitte's National Accounting Research Expert Group. He has certified public accountant qualifications in the United States, Hong Kong SAR and Mainland China. I would like to take this opportunity to express my gratitude for Shang’s outstanding contributions to Noah, since joining us in 2011, we all highly admired Shang’s honest personality, strong execution capabilities unwavering dedication in the past eight years and firm determination to follow through on every task, even after he decided to explore new opportunities in another industry as professional and the responsible as ever, leaving his duty only after helping us wrapping up on a few key issues and located a qualified CFO replacement, everyone at Noah, including myself deeply respect to his professionalism, responsibility and the devotion to the company. I would like to thank Shang again for his efforts and the devotion to Noah and wish him all the best in the future.
Shang Chuang: Thank you, Madam Wang. It has been an honor to work with Noah the past eight plus years. As mentioned, I'll be pursuing new endeavors outside of the financial services industry. I’m confident Grant will continue to strive for excellence in his new role, especially within asset community. Lastly, I am proud to have been part of the Noah team and I wish everyone the best.
Grant Pan: Thank you, Shang, and hello, everyone. Before I dive in to this quarter’s results, I'd also like to express my gratitude to Shang and it has been a great three years of here working with him side by side. It's always hard to see a friend lead. But at the same time, I'm also already excited to see him succeed elsewhere with his talents and experiences. Thank you and we wish you all the best, Shang. In the past quarter, we did travel a stretch of bumpy road, including the product transformation, the Camsing incident, as well as global and regional turbulences. But I'm pleased to report a solid set of financial results for third quarter, which fairly demonstrated the resilience arising from revenue structure and continuous improvement of operational efficiencies. For the third quarter, our total net revenues were RMB 842 million up 0.4% year-over-year, and down by 3.4% quarter-over-quarter. Non-GAAP net income was RMB 353.7 million, up 23.7% over the same period last year, and 34.3% from the last quarter showing earning power arising from business diversification. And now let me take you through performances by revenue mixes then by segment. If we look at the type of revenues on the one-time commission revenue, due to the fact that we stopped offering private credit products in this quarter, one-time commission revenues of this quarter were RMB 150 million down 35% comparing the same period last year. But keep in mind in that period last year, 80% of the RMB 22.8 billion, 80% or RMB 22.8 billion was private credit products. Now if we do a comparison apple-to-apple, the transaction value this quarter actually increased by 119% from the same period. More than that, we distributed RMB 6.9 billion of standardized products with the 74.3% increase quarter-over-quarter. The transformation has started showing good momentum. On the other hand, recurring service fees were RMB 521.6 million, up 9% year-over-year, with a further proportion of growth to total revenue. The key attributes of the growth were primarily incremental total AUM as well as fees arising from accelerated repayments of certain credit products. We're also delighted to report that this is the 22nd consecutive quarter that we have recorded performance based income for RMB 42.7 million. In additional revenues from other comprehensive financial services to our clients is also growing. This quarter revenues from lending and other services to providing value adding service clients were RMB 132 million grew almost a third 33.5% year-over-year. The temporary pressure on the one-time commission revenue caused by product strategy shift was alleviated by the growth in recurring revenues and comprehensive service revenues which led to an overall slight increase in overall revenue. From a segment standpoint, wealth management business, still the number one revenue contributor accounted for 64.4% of total revenue, recorded total revenue of RMB 542.3 million and down by 6% comparing with corresponding period in 2018. Asset management business achieved revenues of RMB 240.4 million recorded a strong growth of 21.1% year-over-year and accounted for 28.6% of total revenues. The continuing growth of asset management business and performance based income also demonstrated our well enhanced capabilities of active management of assets and investment capabilities and having a steady case of AUM helps the business through a choppy cycle of the economy. Operating profit for the third quarter was RMB 234.3 million down 7.0% year-over-year. Operating margin was 27.8% comparing to 32.3% year-over-year. The decrease can be mainly attributed to a higher SG&A expenses of RMB 104.5 million up 74% year-over-year. The majority of that increase was generated by litigation and legal expenses that we have incurred as an effort to preserve and recover assets from the Camsing incident. Meanwhile, we continue to focus on improving our operational efficiencies by limiting the number of non-performing personnel both in the front and back offices. During the third quarter, the number of total employees declined by 6% and total compensation benefit expenses decreased almost 10% correspondingly on quarterly basis. We also adopted stringent cost control focusing on eliminating unnecessary business travels and internal meetings, conferences. Non-GAAP net income came to a single quarter historical high of RMB 354 million with the adjusting items of share based compensation expenses of RMB 21.3 million, as well as RMB 140 million of gains realized upon the sales of our investments in equity security. Now with the efforts made to improve operational efficiencies, one of our finance strategic priority is also to improve the asset turnovers and liquidity. We sped up the collection of accounts receivables this quarter, which declined by 12.6% sequentially and with the proceeds received from sales securities. Cash and cash equivalents have risen about RMB 800 million. The debt asset ratio has been lowered to a historical low of 16.4% with no interest bearing debt on our book. We believe we have built a robust balance sheet that is ready to take us through the cycle of economy, that’s still filled with unknown challenges. All in all, we're very happy with the results of third quarter and confident with the firm's future performances on the back of our comprehensive service offerings, as well as diversified revenue streams. We're confident about maintaining the previous guidance from RMB 1 billion to RMB 1.1 billion non-GAAP net income for the year of 2019. Now we're ready to take questions. Operator?
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] Your first question today comes from Kathy Lei with JPMorgan. Please go ahead.
Grant Pan: Good morning, Katherine.
Katherine Lei: Hi, good morning. So thanks for giving me this opportunity to ask the first question. I have two mainly, the first one is on the Hong Kong business. I see the net revenue from Hong Kong dropped in 3Q. So I'm wondering like, first is that related partially to the social unrest in Hong Kong and what is the trends going forward? And then maybe what's the trends that you have seen in 4Q so far? Second thing is the credit products because we know that that there's a very sharp drop in the credit products in 3Q and as explained, is because -- partly because of the withdrawn of the non-standardized products. But I'm just wondering like, are you going to totally exit all non-standardized products as part of your strategy? Are you looking to retain some of the good quality ones in the asset mix going forward? And then also that, what is the trends in wealth management sales related to the key product and credit products so far in 4Q, thank you.
Grant Pan: Thank you, Katherine. Let me translate two questions to Madam Wang and Group President, then I will get back to your shortly.
Jingbo Wang: [Foreign Language]
Grant Pan: Okay. So the first question, Madam Wang commented that in association with social unrest situation in Hong Kong, it did not have lot of impact on asset management side as actually our main business in Hong Kong is rising and distribution of products. In terms of the insurance as it actually requires a physical visit to Hong Kong to finish the physical check, so it does have a short-term impact on that. Would you have backup plans and we’re actually undergoing the plans to actually establish and obtaining the licenses from Macau and Singapore which we believe will provide a good alternative to our clients in terms of insurance products. And on the credit product sides, yes we have made a strategic choice of completely moving away from the single counterparty credit product as you could see this quarter. But obviously we're not ruling out that if there is very good quality of similar products, we're looking to see if we have a different model that would actually help place that product for our clients. And in terms of the PE product, we're actually seeing very encouraging signs that with the more stringent KYC requirements, lots of the smaller key GPs that are having sort of a difficult days raising funds. And also the fund distributions are concentrated for the top GPs which we happen to maintain a very strong relationship with these top GPs. So we believe that one is that we're continuing to demonstrate in our conventional strength in terms of distribution for the PE products, and we're actually seeing a growing trend in terms of distribution fees for the top GPs as the services we have to put in place to comply with the stringent KYC as well as the follow-up services for our clients. So we're seeing a good signs in terms of PE distribution. I hope that answers your questions, Katherine?
Katherine Lei: Thank you, I also have a follow-up question. So on the non-standardized products, does this include like the consumer credit related products and also that like say in Gopher right, what is the stock of non-standardized credits product due in Gopher? Okay, first is that on the non-standardized credit, does that include the consumer credit that you have with (inaudible) that you cooperate with accounting, does it included in the non-standardized product? So the second question is that in your Gopher AUM, what is the job of non-standardized credits because I assume that those once they reach maturity then you won’t go over right, so I just wanted to see what is the potential downside on the asset management business as well? Thank you.
Grant Pan: Okay. Thank you, Katherine. The answer to your first question is yes. On the non-standardized especially, we're strictly speaking about the single counterparty private credit products, it includes consumer financing products like JC and Mahjong like we have mentioned and the impact on the Gopher AUM is primarily, as I mentioned before that the change in the AUM mix that is going to shift basically from especially the single counterparty credit product to standardized products in that particular category. So, the remaining duration for the private credit products is probably between 12 months to 60 months at the original terms. So for the remaining products we're seeing hopefully completing, coming down to a limited amount in the second half of next year. And then the same time, the distributions for the standardized products are climbing up and we’re hoping that growth in the particular standardized products will take up a little bit of space for that void sort of in the AUM for Gopher.
Jingbo Wang: [Foreign Language]
Grant Pan: So Chairlady Wang supplemented that during the transformation in the third quarter, we did realize that there's still very ample room in terms of standardized bond market and with the strong counterparties that we have worked with in the past, for example, JC and Mahjong, they also have been issuing public ABSs in the past, and we believe if we do in looking to that are satisfied with the quality of those products would believe on the public ABS side will be able to partner with them from our standardized bond funds side.
Jingbo Wang: [Foreign Language]
Grant Pan: Yes, we have also added in-house credit rating team and since the beginning of this year, and also adding the research team to enable the researching ability for the standardized bond investing capabilities. Thank you, Kathy.
Operator: Thank you. [Operator Instructions] Your next question comes from (inaudible) with CICC. Please go ahead.
Unidentified Analyst: [Foreign Language]
Grant Pan: Okay, for the benefit of the audience, I will translate Yuan’s question from CICC. The first question is regarding the change in number of active clients in third quarter and he was wondering, what is the main reason for the change or decrease especially in which tier, the lower tier or the higher tier of the client basis and secondly he has a question specifically for Chairlady Wang about the macro environment, especially in the downward cycle of the economy, and what will be the competitive landscape in the next few quarters? I hope I recap your questions, okay.
Unidentified Analyst: Thank you.
Jingbo Wang: [Foreign Language]
Grant Pan: Okay. So let me translate the first question as well. For the previous sort of criteria to define the active clients, we actually only included clients with transactions, single transaction values over RMB 1 million. But now we're transforming to standardized products, including the mutual funds. So sometimes the transaction values may not be over RMB 1 million, but if we do include that particular group of clients, the total number of active clients is actually close to 10,000, that's 9,961. So that actually indicates a pretty good jump from the previous period. And also if you look at our core group of clients or the higher tier of clients which is the Black Card clients, take them as example, actually have the increase of 7% from the same period last quarter, and their actual average AUM or AUA with us is over RMB 90 million. So if you look at the top tier clients or the total number of active clients actually shows a pretty good trend of growth.
Jingbo Wang: [Foreign Language]
Grant Pan: Okay, so on the topic of macro environment as well as competitive landscape, we believe actually the situation or environment now is actually helping us in terms of competition. The first important reason is that investors are gaining deeper understanding of this financial service industry in the past. And they actually started to appreciate companies like us who continuously being transparent and disclose risks or sometimes, the things we're probably not doing perfectly, but they are gaining more trust for this type of clients. And for example, after the Camsing incident, we have started, sort of a group to initiate the one-on-one discussions with our clients. And I believe we're pleasantly surprised that a lot of our clients are getting more and more matured in terms of with the knowledge of this market and they understand, especially the risks associated with investments. And secondly in terms of competitors, especially from maybe some security brokers or some brokerage firms that we’re seeing recently. They are being quite aggressive, to be honest. But we're pretty confident about remaining the competitive advantage from our size is that one, we're obviously still having the first mover advantage. And we're having pretty good customer loyalty and stickiness with us. And third is we have a very stable group of elite RMs that will help us through this particular cycle. And the three things, we're doing are focusing on to maintaining that competitive advantage is while continuing focusing on the investor education, and two is to train up RMs especially our transformation of new products and IC capabilities, as well as continuing to strengthen on the product strategy.
Unidentified Analyst: Thank you.
Operator: Thank you. This concludes our question-and-answer session. The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.
Grant Pan: Thank you everyone.
Jingbo Wang: Thank you.